Operator: Good morning and welcome to Bel Fuse's Second Quarter 2023 Earnings Call. As a reminder, this is being recorded. I would like now, to turn the call over to Jean Mary Young with Three Part Advisors. Please go ahead Jean.
Jean Young: Thank you and good morning everyone. Before we begin, I'd like to remind everyone that during today's conference call we will make statements relating to our business that will be considered forward-looking statements under Federal Securities Laws, such as statements regarding the company's expected operating and financial performance for future periods, including guidance for future periods in 2023. These statements are based on the company's current expectations and reflect the company's views only as of today, and should not be considered representative of the company's views as of any subsequent date. The company disclaims any obligation to update any forward-looking statements or outlook. Actual results for future periods may differ materially from those projected by these forward-looking statements, due to a number of risks, uncertainties and other factors. These material risks are summarized in the press release that we issued after market closed yesterday. Additional information about the material risks and other important factors that could potentially impact our financial performance and cause actual results to differ materially from our expectations, is discussed in our filings with the Securities and Exchange Commission, including our most recent Annual Report on Form 10-K, for the fiscal year ended December, 31, 2022, hence our quarterly reports and other documents that we have filed or may file with the SEC from time to time. We may also discuss non-GAAP results during this call and reconciliations of our GAAP results to non-GAAP results have been included in our press release. Our press release and our SEC filings are all available at the IR section of our website. Joining me on the call today is Dan Bernstein, President and CEO; Farouq Tuweiq, CFO; and Lynn Hutkin, Vice President of Financial Reporting and Investor Relations. With that I'd like to turn the call over to Dan. Dan?
Dan Bernstein: Thank you Jean, and thank you all for joining our call today. We are very pleased to report our seventh consecutive quarter of year-over-year gross margin improvement. Our diversity of products and markets has served us well this year. Connectivity and Power continued to lead the way this quarter and successfully offset the impacts felt within our Magnetics group. We've been working in a challenging macro environment and I couldn't be more proud of our global team for their unwavering discipline on margin improvement. On the backlog side, as expected, it continues to normalize. Importantly, the orders in our backlog continue to be strong from a margin perspective. I wanted to take a moment to acknowledge Catherine Deswarte and others former associates in the Czech Republic. As we announced in early June, Bel divested it's non-core business in the Czech Republic to PEI-Genesis, who we had known for a long time as a distributor of our Cinch products. Lastly, as announced in late June, we closed the sale of our former corporate headquarter building in Jersey City and moved to West Orange New Jersey. We were able to sell the building for $5.3 million resulting in a gain of $3.7 million, which is included in our second quarter results. This move made sense to the current market value of the property and lower annual operating expenses in our new location. With that I'd like now to turn the call over the Lynn to provide a financial update. Lynn?
Lynn Hutkin: Thank you, Dan. From a financial perspective, the second quarter was very strong for two of our three product groups, with notable gross margin expansion, continuing across all three groups. Overall second quarter 2023 sales were $169 million as compared to $171 million in the second quarter of 2022. Gross margin expansion continued and reached 32.9% in the second quarter of 2023, as compared to 26.6%, a year prior. By product group, Power Solutions and Protection sales for Q2 '23 were $87.1 million, up 23% from last year's second quarter. This is a new record high for our Power Group and they now represent over half of Bel's consolidated sales. Higher demand for our front-end power products serving our networking end market, was the largest growth driver. Sales of our eMobility products also remained strong and helped to offset a decline seen in circuit protection sales. Gross margin for this group was 35.7% for the second quarter, a 750 basis point improvement from Q2 '22. Largely driven by a favorable shift in product mix, the benefits of pricing actions taken over the past year, and favorable FX. Our Power Solutions and Protection group had a book to bill ratio of 0.6, during the second quarter of 2023, and a backlog of orders of $285 million at June 30th. Our Connectivity Solutions Group posted new record sales of $54.8 million in the second quarter of 2023, an increase of 19% from last year's second quarter, largely due to the continued rebound of the commercial aerospace and military end markets. Gross margin for this group came in at 37.4% for the second quarter of 2023, up from 27.6% in the second quarter of 2022. Our Connectivity group has transformed financially in 2023, as certain contract renewals cost actions efficiency improvements and facility consolidations took effect, throughout the first half of the year. These steps were critical in restoring the margin profile of this group, which had been impacted in recent years by higher material and labor costs. We believe we are now better positioned to meet the current and expanding requirements of our commercial air and military customers in this segment. The Connectivity group had a book to bill ratio of 0.9 during the second quarter of 2023 and a backlog of orders of $112 million at June 30th. Lastly, our Magnetic Solutions group had Q2 sales of $26.8 million, down 50% from last year's second quarter. Gross margin for this group was 24.6% in the second quarter of 2023, as compared to 28.2% during last year's second quarter. As noted last quarter, our Magnetics group is going through a period of transition from both a customer product consumption perspective and on the operation side. We expect this group to be the primary beneficiary of our major facility consolidation that has been underway in China since late 2022. This move is being handled in stages and has been progressing as planned. The new site has been manufacturing and shipping products in small quantities since late '22, with $5 million being shipped from the new site during the second quarter of 2023. The balance of the transition is expected to be largely complete in the third quarter, with full completion by year-end. As customers work through their inventory on hand, bookings within our group Magnetics group continued to be low in Q2, resulting in a book to bill ratio of 0.3, during the second quarter of 2023. This group finished Q2 with a backlog of orders of $53 million. At the consolidated level, there are still past due orders that were unable to ship in Q2, though these levels have largely returned to a normal run rate. As expected and indicated last quarter, our overall backlog has continued to decline as component availability eases, and lead times begins to normalize. Our consolidated backlog of orders was $450 million as of June 30th, down 20% from the 2022 year-end levels. We still view this level of backlog is elevated, due to lead times and expect it to come down further. Historically, our backlog would represent approximately one quarter's worth of sales when lead times were eight to twelve weeks. Our current level backlog represents about two-and-a-half quarter's worth of sales. So there's still a way to go, before it's fully normalized. Our selling, general and administrative expenses for the second quarter of 2023 were $25.1 million or 14.9% of sales, up from $24 million or 14% of sales in the second quarter last year. Within SG&A, the primary increases were related to salary and fringe benefits in addition to $1.2 million of litigation plaintiffs cost, associated with our MPF matter, as discussed in our recent filings. We anticipate these litigation costs will continue through the third quarter of 2023. On the tax line, we did have a large FIN 48 reversal of $5.2 million, that was an offset to our regular tax expense during Q2 23. If you recall, we had a similar tax reversal in Q2 22 in the amount of $3.6 million. From an EPS perspective, these tax items had a favorable impact of approximately $0.40 per share in Q2 '23 and a $0.30 per share favorable impact in Q2 '22. Turning to balance sheet and cash flow items, we ended the quarter with a cash balance of $65.1 million as compared to $70.3 million at year end. We generated $40.7 million in cash flows from operating activities during the first half of 2023. With capital expenditures of $7.1 million, this resulted in free cash flow generation of $33.6 million for the first half of 2023. An improvement of $26 million versus the first half of 2022. Our inventory levels decreased by $13.4 million from year end, resulting in improved inventory turns of 2.9 times during Q2 '23, vs 2.6 times from year-end. While progress has been made on bringing inventory levels down, this remains a companywide initiative to restore our inventory turns to our historical range of 4 times. Looking at the second quarter of 2023 specifically, we generated $23.8 million in cash flow from operations, this translated into free cash flow of $20.5 million during the second quarter. Lastly, I wanted to provide an update on our outstanding debt balance. During the second quarter of 2023, we utilized our free cash flow to pay down the variable rate portion of our outstanding debt balance, which was subject to a high interest rate. Following the $40 million pay down in Q2, our outstanding debt balance now sits at $60 million and is effectively subject to a fixed interest rate of 2.5% through our swap agreements that are in place through 2020. I'll now turn the call over to Farouq, for additional color and outlook.
Farouq Tuweiq: Thank you, Lynn. The second quarter of 2023 was another busy one for the team. In addition to delivering another solid performance financially, we completed a small divestiture of a non-core business, moved our corporate headquarters, conducted our executive offsite, and made continued progress on our various facility consolidations that have been underway. From a management perspective, Dan and I visited our sites in China, something we're able to do in-person for the first time since COVID. This was my first time personally visiting our sites in China since joining Bel two years ago, and it was exciting to see firsthand our great associates there and the quality of facilities they are managing. We participated in a formal grand opening ceremony at the new magnetics factory in early June and where able to see firsthand the progress of our facility consolidation there. The team and myself walked away excited and appreciative of the overall upgrade that we represent to Bel and our customers. As I've stated over the past several quarters, Bel is on a journey to prepare and instead course for an exciting future, and we're seeing this take hold, as we have been seeing in the last quarters, and this quarter. As we noted in our release, we are expecting Q3 2023 sales in the range of $157 million to $165 million. We view this as a positive, given that we have elected to walk away from $9 million of annual low margin sales, to refocus our efforts on more attractive margin opportunities, with greater tailwinds. Also keep in mind that the Czech divestiture will have a slight impact on our revenues. On the gross margin side, we expect Q3 '23 margins to be generally in line with Q2 '23. In short, while we expect sales to be behind last year's third quarter, but we expect to be ahead of Q3 2022 on profit margins. Given our first half 2023 actuals and expectations for Q3, we are raising our full year 2023 outlook and are now estimating sales for fiscal year 2023 to be closer to the $650 million that was reported last year, including expedite fee revenue. As mentioned at the start of the call, all of the foregoing expectations and estimates, including guidance for future periods of 2023, or as otherwise discussed on this call are based on information available as of today and upon our current estimates, forecasts, projections and assumptions. The strength seen in our commercial air, military, eMobility end market is expected to continue through the balance of the year. Certain other areas within the business are still working through their inventory on hand, which is estimated to take another quarter or so. Overall, we are optimistic in the second half of the year. We believe the profitability will remain strong, even with the lightest of the movements on the topline. On the facility consolidation side, two of our four projects are now fully complete, with the former Connectivity sites in Sudbury, U.K. and Tempe, Arizona having successfully transitioned operations to other existing facilities. For the Magnetics facility consolidation in China, we have started to wind it down in Q2, but expect to be more aggressive with the wind down in Q3. We are still on track to have this one largely complete in Q3, with some finishing touches that run into Q4. We just spoke about all this means cost takeout in our baseline business. Looking ahead, we will begin executing on the key themes discussed at our recent offsite, which were growth, strengthening the bench and identifying further opportunities for continuous improvement in profitability. The plan is to prudently invest in key areas of the business and to target end markets, setting us up for the exciting road ahead. And with that, I'll turn the call back over to Dan
Dan Bernstein: Yes, thank you Farouq. The operator, we would like to open up the call for questions now please.
Operator: [Operator Instructions] Our first question comes from Theodore O'Neill, CFA, Litchfield Hills Research. Please sir, go ahead.
Theodore O'Neill: I was wondering if is this the new normal, and what sort of things are you doing to create that better operating margin number?
Dan Bernstein: Farouq can you answer that?
Farouq Tuweiq: Yes sorry. Theo, we may have skipped the first half of your question, would you mind repeating that?
Theodore O'Neill: Yes so, so you're up - your gross profit margins were outstanding in the quarter, but also the operating margins were good too, reflecting expense controls. It looks like you shaved 2 percentage points off your expenses over the last two years. I was wondering if you could talk about the things that you've done and whether this is the new normal, or there is more to come.
Farouq Tuweiq: Yes. As we've kind of talked about in the past, we are on a journey, right? And we have a list of things that we are trying to get to, have been getting to and will continue to get to. So the way we look at it is we are resetting our cost basis and structure for the business while prudently investing, so we trim in some places and prudently invest in other places. But the net net of the result of all this is a more favorable operational cost structure. And as we think about the big headline grabbers like facility consolidations and some of the headcount rationalization we're doing, obviously they get a lot of play, but also down really to the factory floor in terms of our design for manufacturing approach, are we being more lean in terms of the way we consume materials, down to our procurement processes around raw material, right? So something more small to some extent, such as relocating our corporate headquarters. So all these things add up. so we do think that we are shrinking our overall cost structure, with a key theme of ensure we're lean and ready and invested in the future, right? We want to make sure, obviously we're not looking to cut our way to growth that doesn't happen, we need to invest in growth. So we're doing it and in some places, but also a trend back in certain places where it doesn't make sense. Similar to the roughly, call it $9 million to $10 million that I alluded to earlier, some of the revenue went away from, because we did not redeploy these resources at opportunities that we're seeing quite frankly more attractive.
Theodore O'Neill: Okay. Have you disclosed or willing to talk about how much revenue is - was in the Czech plant that is not part of the revenue stream now?
Farouq Tuweiq: Yes, it kind of bounced around, but roughly $4 million to $5 million, is where it was, sometimes a little bit higher than, let's think around $5 million, give or take.
Lynn Hutkin: And that's an annual number, Theo.
Theodore O'Neill: Okay. And on the acquisition front, is that something that you're looking on at, at all?
Farouq Tuweiq: On the acquisition front, we've always been in the game, we continue to be in the game. Right now I think because of the interest rate environment or overall environment we're seeing less assets come to market, that generally tends to be the theme. We start seeing a little bit more pick up on maybe not so great quality businesses in Q2, but our expectations in is that we'll see that as some of the clients of kind of the macro environment disappear and some of the lending environment, we expect to see more assets come out. I think the good thing for us is, we know that they will come and we are setting up ourselves with a super clean balance sheets and obviously getting our house in order, will make us a more competitive player as we go after acquisitions in terms of both closing the deal, and just hosting our new partners down the road. So, it will come not yet, but we're always looking.
Dan Bernstein: But just to add some more color to that. We do meet with our investment bankers is constantly. So, over the past over the past four weeks we met with Rothschild, Citibank and Needham to review acquisitions they see in the marketplace. What they see that's going to break loose, and how to position ourselves in a proper manner.
Theodore O'Neill: Okay, thanks very much.
Operator: Our next question comes from Jim Ricchiuti from Needham and Company. You can go ahead.
Jim Ricchiuti: Thank you. Good morning. I just want to make sure I'm clear, the $9 million to $10 million of lower margin business, that's quarterly or annual I may have misheard.
Dan Bernstein: Yes, that's a good question. Jim, it's annual.
Jim Ricchiuti: Got it. And I wondering if you could just shed a little bit of light on which areas, product areas that comes out.
Farouq Tuweiq: Yes. I should also clarify, we're constantly looking to kind of trim here and there. This kind of number came out just some of the bigger highlights that we went through in Q2. So we're constantly - it's not a one-time thing. But in terms of where it comes, I'd say, largely Magnetics, but a little bit of crossover on a couple of other ones, but this one specifically to slug lugs out of magnetics.
Jim Ricchiuti: And just on that topic of Magnetics as you go through this facilities transition and benefit from some of the shift to better margin business. I'm wondering, do we see this business bottoming from a revenue standpoint? And then how should we think about the anticipated recovery in gross margins, is that happening, early 2024?
Dan Bernstein: Yes, so we've spoken I think a call or two ago that generally in our industry, it takes one to two quarters for things to rebound and inventory levels to normalize. The good news is on Magnetics, we're starting to see that recovery. So we believe that we've bottomed out and are on the upward side of that curve. So, and as we look in July, we had a good month, so it's given us more confidence that we're climbing up out of that. So, we feel we've bottomed out, and we feel excited about the future, but the other thing of note is given some of the work we have done, we look at the margin profile of what is in backlog, and it's healthier today. So there is a scenario where you can have the same level of profits on lower revenue. One thing I should point out to is Magnetics is operating and performing at this gross margin level, despite being down 50% of sales and running 3 facilities because of the consolidation, right? Ultimately trying to get down to one facility. But right now as we transition. So it's kind of nice to see that we're going to start exiting and really kind of closing down this consolidation business in Q3 on top of recovery. So that to us high margin. So we're excited about making that exit. and we think there's a lot of exciting things going on there. Just this quarter kind of hit us, which is also quite frankly testament to us as a company.
Jim Ricchiuti: Got it. Quick follow-up. Lynn, I may have missed it, apologies, but did you give a commercial air revenue number in the quarter. It sounds like you're seeing pretty good growth.
Lynn Hutkin: Yes, sure. So, commercial air for the quarter was $15.9 million
Jim Ricchiuti: I'm sorry, $15.9 million
Lynn Hutkin: Yes.
Jim Ricchiuti: Okay, thanks. I'll jump back in the queue. Thank you. If no one's asking any additional questions, it's Jim. I have one other one if you can take it.
Dan Bernstein: Sure. Go ahead, Jim.
Jim Ricchiuti: Thank you. So I wanted to dig a little bit more deeply and to the strength you're seeing in front-end power. You talk about networking and I'm just wondering if you could elaborate on what you're seeing in the market. And I guess what I'm getting to also, I'm wondering if you're seeing any early signs of business momentum in this part of the business or elsewhere, that may be related to the activity we're all hearing about on the AI front.
Dan Bernstein: Farouq?
Farouq Tuweiq: Yes. So to kind of the front-end power. Obviously, the networking side of it and if we read some of the public commentary out there, Jim, Power IC supplies have been a little bit of a pain point for those participants in the market. So obviously we - the supply chain is easing, but it's not quite there yet. So we continue to see that robustness in demand there as we think about networking. But for us it's gets a little bit confusing, because when we look at Magnetics, there was a little bit too much inventory in the channel, right? So it's a little bit of a two-tailed cities for the same end market, so we are definitely bullish long term and medium term and near term on things not working given some of the things that we do hear about in the market and data centers broadly speaking. To your question around AI. We do think we would be a secondary beneficiary of that. We are a step removed, call it maybe a little bit behind secondary. The way we tend to think about it is AI will cause a lot of increase in computing power needs and data center requirements, which are all areas that we play in. So, we wanted to be costs have not drawing a direct line to it, but we do expect there will be an uplift. We are - it's tough to say right now if we're seeing a directly, but we know it's all around us. But, it is still little bit early days from a hardware perspective, unless you're doing some certain components. Obviously, we're not so, for us we think it's a great tail-wind ahead of us. And we have a couple of the segments in our business that will better from that.
Jim Ricchiuti: That's helpful and last question for me is, just wonder how you would characterize the business activity in the distribution channel. And just maybe more broadly pricing in general?
Dan Bernstein: Yes, I think.
Farouq Tuweiq: Yes, go ahead Dan.
Dan Bernstein: No, again, distribution channel is still working through a lot of inventory, again because of the shortages in IC's and power supplies that the capacitive the passive side is built up a lot of inventory. So that's been somewhat depleted. We hope by the end of the end of the third quarter, fourth quarter that they get back to normal ordering process. So far we haven't seen much pricing pressure out there today. We still see strong demand for product, but we know as lead times come down, pricing will most likely come down a little bit to reflect that. But overall, if you look at passive component people, most people are predicting a negative 5% growth, or possibly on the on the bright side, maybe plus 2% or 3%. And they don't see anything really turning around and I think everybody is predicting as a safe thing saying, end of this year, hopefully all the inventories will be cleaned out at the distributor, and at the OEM and new orders should be coming in a lot stronger.
Jim Ricchiuti: Got it. That's helpful. Dan. Thank you and congrats on the quarter.
Dan Bernstein: Thank you.
Operator: Our next question came from Hendi Susanto, Gabelli Funds. Please, You can go ahead.
Hendi Susanto: Yes, good morning, Dan, Farouq and Lynn. First question in Magnetics, what may recovery look like, will it be a gradual rebound? And then additionally what portion of Magnetics products have gone through pricing discipline, considering that there were that excess inventories so I'm wondering whether or not the new pricing exercise has been comprehensively executed in Magnetics or not?
Dan Bernstein: Yes, I would say the recovery like I said, we feel the bottom that's recovering. So we do think we are on the mend and we're starting to see kind of positive signs and kind of ordering activities and POS data type stuff. So, it will - it's not going to be a one big snap back right it will be, it will be gradual but probably a little bit faster than kind of normal maybe growth rates are. And then to your other question on kind of pricing to Magnetics, we are taking a lot of cost out. We're investing in automation and we're investing kind of other parts of the business, so that way when those discussions do come upon us, we're able to kind of react a little bit better. So, if you're going to see it a little bit on price here, it's about what new opportunities that are out there and kind of how you control your cost side of the house. So we feel that we will be nicely set up for that quite frankly, and we been kind of through some of these already and we kind of like the position we came out of them. And obviously as we've talked about we electrically walked away from some revenue because we liked the other opportunities coming our way a little bit better than some of the legacy stuff so, it's a little bit of a mixed bag. It's going to be some puts and takes but overall we expect better performance and an overall better things for Magnetics group and quite frankly across the business.
Hendi Susanto: Yes. And then Farouq, R&D has been running higher this year, $6 million in the second quarter is that the new baseline that reflects more investment?
Farouq Tuweiq: Yes so as we look across the business we said, right we're not while a big margin focus has been, we obviously are not sleeping on growth, we have some very exciting things in E-Mobility space and quite frankly we're seeing things defense and some of the more legacy products on networking and 5G, so we got to make sure that we're on the offense there in terms of talent. Our margin improvement has allowed us to invest both in the businesses at consolidation level and R&D is kind of one of those there's also probably a couple of other areas in the business that we've been investing in. So, we look at that as a good thing when you look at R&D as a percentage of sales across the business It's nothing, nothing too crazy here. But, which is great because I think it gives us a little bit of opportunity and flexibility to invest in the right people, going after the right things. So I'd probably say it's kind of about normal kind of where it should be for the time being.
Hendi Susanto: Okay. Yes. And then would you share that thought process on the shelf offering filed in last May and how Bel Fuse may proceed with that. Specifically, what kind of strategic options that Bel Fuse can pursue utilizing that?
Dan Bernstein: Yes. So the shelf offering has been in place before my time I think maybe a couple of 2014 or somebody that was and then gets rolling every three years thereafter. It was a good kind of financial housekeeping item to have out there to maintain and we can have ultimate flexibility. Obviously, we've had it since 2014, but we haven't executed upon it. So really the filing was an extension and continuation of what we have been doing, to kind of give us flexibility as needed.
Hendi Susanto: Yes. And then last question for me, I may missed this earlier, but could you give like more colors on the tax in Q2. And then if I see let's say like the last like several quarters, there are times when tax we flag positive - like some potential somewhat as potential like tax benefits in Q2 or in certain quarters?
Lynn Hutkin: Right. So Hendi on the taxes in Q3, we did have a large FIN 48 tax reversal of $5.2 million that was in Q2 '23. Last year, we had a similar tax reversal in Q2 '22 $3.6 million. These items do tend to roll off that the larger portions have been rolling off in the second quarter of each year. So we would expect not to see this level of benefit in Q3 or Q4. We do expect it to move back to a more normal tax rate.
Hendi Susanto: Thank you Lynn.
Operator: [Operator Instructions] Now I would like to turn the call back over to Mr. Daniel Bernstein for closing comments. Please go ahead.
Dan Bernstein: Thank you very much and thank everyone for joining our call today and we look forward to speaking to you in October.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for participation.